Operator: Good morning, and welcome to the Franklin Street Properties Second Quarter Results Conference Call (Operator Instructions). Please note, this event is being recorded. I would now like to turn the conference over to Scott Carter, General Counsel. Please go ahead.
Scott H. Carter: Thanks, good morning, and welcome to the Franklin Street Properties second quarter 2014 earnings call. With me this morning are George Carter, our Chief Executive Officer; John Demeritt, our Chief Financial Officer; JeffreyCarter, our Chief Investment Officer and Janet Notopoulos, President of FSP Property Management. Before I turn the call over to John, I must read the following statement. Please note that various remarks that we may make about future expectations, plans and prospects for the company may constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2013, which is on file with the SEC. In addition, these forward-looking statements represent the company's expectations only as of today, July 30, 2014. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. Any forward-looking statements should not be relied upon as representing the company's estimates or views as of any date subsequent to today. At times during this call, we may refer to funds from operations or FFO. A reconciliation of FFO to GAAP net income is contained in yesterday's press release, which is available in the Investor Relations section of our website at www.franklinstreetproperties.com. I'd now like turn the call over to John Demeritt. John?
John Demeritt: Thank you, Scott, and good morning, everyone. Welcome to our second quarter 2014 earnings call. On today's call, I'll begin with a brief overview of the second quarter results. After my remarks, our CEO, George Carter, will review the quarter in more detail and discuss our operations and overall strategy for the second half of 2014 and beyond. As a reminder, our comments today will refer to our earnings release the supplemental package and the 10-Q, all of which were filed yesterday and as Scott mentioned can be found on our website at www.franklinstreetproperties.com. For the second quarter, we reported FFO of $0.28 a share, which is a 12% increase compared to the first quarter of 2013. The year-over-year increase in FFO per share was driven by higher property income primarily as a result of the acquisitions we did last year and same store increases. Partially offsetting that increase were higher G&A expenses and interest cost, much of the interest increase was from the addition of seven year debt that we added last August. Turning to our balance sheet and current financial position. At June 30, we had approximately $917 million of debt outstanding on our balance sheet and a total market cap of about $2.2 billion. From a liquidity standpoint, at quarter end, we had cash on hand of $18.5 million and $200 million and $3.5 million available on our unsecured credit facility that has a total available balance of about $500 million. Our debt-to-total market cap ratio was 42.1% at the end of the second quarter, and our debt service coverage ratio is about five times. We remain an unsecured borrower with no property level to debt and approximately 68% of our debt is at a fixed rate. We believe our financing strategy provides us with maximum flexibility. Leaving a portion at the floating rate which means we can pay down debt and avoid incurring prepayment penalties or the need to break swaps. This makes sense now, particularly with the assets recycling program that we have underway. Having this availability also provides us with the run to make acquisitions more efficient as well. Additionally, during the second quarter we continued our discussions with the ratings agencies and were pleased to announce that we were assigned a Baa3 issuer rating from Moody’s Investor Service. Moody’s indicated that their rating is reflective of the company’s solid credit metrics including modest overall leverage, high fixed charge coverage and our fully unencumbered asset pools. The rating also reflects our well occupied portfolio of assets in select urban infill and CBD districts across the U.S. We look forward to using our rating and believe to having a rating as to our financial flexibility. Finally, as announced in our release, we are reiterating our guidance for 2014 based on our current outlook in the range of a $1.09 to a $1.12 per diluted share. Again, our guidance excludes the impact of future acquisitions, dispositions and capital markets transactions except for those that have already been announced. With that I’ll turn over the call to our CEO, George Carter. Thanks for listening. George.
George Carter: Thank you, John. Good morning everyone, and thank you for taking the time to listen to Franklin Street Properties second quarter 2014 earnings call. My prepared remarks today will follow my written commentary in yesterday's earnings press release, and after my comments, we will open the call for questions. For the second quarter of 2014, FSP's funds from operations or FFO totaled approximately $28.3 million or $0.28 per share, a 12% increase over the same period last year. And for the six months ending June 30, 2014 FSP's FFO totaled approximately $57 or $0.57 per share a 14% over the same period last year. Our directly-owned real estate portfolio of 39 properties, totaling approximately 9.7 million square feet, was approximately 94% leased as of June 30, and our comparative same-store rental growth totaled approximately 2.8% through the first six months of 2014. Currently, we are in active efforts to potentially sell a number of our suburban office assets that we believe are no longer core to our long-term strategy. We would anticipate recycling proceeds from these sales into new acquisitions of urban in-fill office properties within one or more of our five primary markets. Results from these efforts should become known during the second half of this year. To give just a little more color to the recycling program. We currently have right now eight or had eight assets under consideration for possible sale. We did – if we disposed of all eight of those assets and there is no surety that we will, but if we did we would be talking about potential underline the word potential proceeds of about $200 million. Two of the eight assets that we propose for sale or recycling are single asset REITs, those are properties that we sponsor and manage but we do not have an equity interest in. Two of those single asset REITs that we are considering selling we have a first mortgage loans on, so there is a direct impact to Franklin Street of their sale. We actually completed the sale of one of those Single Asset REITs Galleria, which is a Dallas area property for $86 million we had approximately a $14 million first mortgage on Galleria which was repaid in full upon their properties disposition. So, we have seven assets left that we are in some process of selling. Again, one of those assets remaining is a Single Asset REIT and that is the development project, development property that Franklin Street did and the Denver Boulder Corridor that’s defined as 385, 385 Interlocken. And we’ve done some leasing on that recently and we think the market maybe attractive for that possible sale and that is again one of the assets that we are considering selling. Our first mortgage loan on that property is about $37.5 million and if that property is sold if it is sold we would anticipate that $37.5 mortgage being repaid in full. The other six assets are directly owned by FSP or again what we would call pure suburban office assets that we have owned for a while they are in different parts of the country and again, we would anticipate if disposed of that we would recycle that capital into more urban inflow office assets which we believe are more inline with our long term strategy. And again, to reiterate our long-term view, we believe that the United States is in a very long term growth cycle. With that growth characterized by both a longer term cycle and a potentially slower growth cycle, then normal cycles that would occur after a recession on there [as] like financial crisis. And there are many factors which give us very bullish view of the future including the resiliency of the U.S. Capitalistic system and what it’s been able to do coming out of this financial crisis and recession. But there are also governors we believe on higher growth rates, higher faster growth rates that will keep the growth slower and particularly when we are talking office, employment is everything full time employment and we’ll wage growth or what clearly needs to get into the equation here to move the needle, we think those things will be slower to recover the normal for a lot of reasons. On top of all of those reasons which we have gone through before in other calls and at REIT week and New York we certainly have overlaid on top of everything right now lot of geopolitical risk and so that creates some uncertainty in the markets and it definitely would be a factor. We have been acquiring and anticipate continuing to acquire with hopefully significant recycling proceeds, again longer lived assets to be inline with our longer view of the up part of the cycle. Again, urban infill, we have been acquiring below replacement cost and with leases in place that have below market rents compared to the markets that the properties are in, whether they are Town Centers or CBDs there is work play live location with heavy infrastructure particularly transportation infrastructure are very important to us and we are in five markets that we believe, primary markets which we believe have very specific macro economic drivers to them that could potentially move employment growth in those markets and consequently occupancy and rental rates of our properties above national averages over this long term view, long term cycle of growth that we believe is ahead. And we are very bullish on the asset class of office, and our markets we think it’s a great asset class to own over the coming years. As we begin the third quarter of 2014, our property portfolio is operating smoothly. We are generally improving the rental metrics in most of our locations and we remain very optimistic about our continuing growth prospects for the balance of 2014 and beyond. With that, I’d be happy to open the call for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). First we have John Guinee with Stifel. Please go ahead.
John Guinee - Stifel, Nicolaus & Company: Okay. Thank you very much, guys, just a couple of questions. Just looking at your portfolio, it's pretty easy to see the smaller buildings that you would likely to have for sale in the marketplace. Just to clarify is that $50 million in proceeds from selling out of the two single asset REITs and then another $50 million in proceeds from the six suburban assets for sale. Or is it $100 million from the six suburban assets for sale?
George Carter: John, potentially and I’ll again, its George. I almost hate to give numbers, because we don’t know whether we’ll sell any or all or some or what prices we’ll get. We’re in market discovery right. But from our viewpoint the potential total dollars generated here is somewhere around $200 million. So 50 from non-repayment on the two single asset REITs, in round numbers and 150 from direct sales of directly owned properties.
John Guinee - Stifel, Nicolaus & Company: Got you, okay. And then are you considering in this list, I think you've got 121 South Eighth Street, which is undergoing redevelopment, so you're clearly keeping that. Are you considering selling the building to the insurance companies moving out in a few quarters or are you going to try to redevelop that?
George Carter: The Timberlake properties, which is where the insurance RGA is, is not being “redeveloped” but definitely being released and there are prospects they are now really are active with on our RFPs etccetera. So that is not a property that we are selling.
John Guinee - Stifel, Nicolaus & Company: Okay. And then do you think you can do this on a cap rate neutral basis for the $150 million of asset sales or is it slight delusions if you think stabilize to stabilized?
George Carter: Well I think generally speaking, John, when – if you sell a pure suburban asset and buy a pure urban in-fill asset, you are going from a higher to a lower cap rate, which would be on a surface dilutive. And I think that's a generally true statement and can apply broadly. The one thing I would say, is that on the sale side we have, I think expectations certainly a hope, that some of the pure suburban assets that -- and many of these are very much legacy assets of ours, will get a lot of attention and low cap rates, there’s a lot of potential in the markets they’re in, and I think there’s a lot potential future value underwritten even in a pure suburban assets that will keep cap rates low prices per square foot significant, and for good reason. We do have some in pipeline opportunities in urban in-fill that if we can match off pricing on both, which on paper we can, but paper is one thing and reality when you sell properties and buy is another. We should not be dilutive. We might even be slightly accretive. And that sounds odd going from pure suburban to urban in-fill, but it is the nature of the beast that we’re dealing with. And that is underlying potential. The one thing though that may or may not line up well regardless of pure sort of cap rate dilutive, accretive recycling, is time and there again is a question mark. John mentioned the amount that we have on our revolver and how we plan to use it and I think it’s going to potentially come into use. And so, you might see periods of time before recycling proceeds get put into new properties that they are simply paying down the revolver for a period of time. And obviously would cause a drop in FFO for a period that it was not recycled. The foot side of that potential, it actually goes the other way, and that is that we might very well, if we were confident about property sales, go ahead and pre-purchase or simultaneously purchase one of our off market or in market deals that we no money to acquire. And so you could go the other way where you moved FFO up for a short period of time, but then once properties were sold and so on it would balance out. That’s pretty long winded, but it’s the reality of the situation, so it’s uncertain. But I think when the smoke clears we’re fairly confident that recycling proceeds for our pure suburban place into our urban in-fills will be fairly neutral relative to cap rate and dilution or accretion.
John Guinee - Stifel, Nicolaus & Company: Okay, great. And then, it appears to us and correct us if I’m wrong, but RGA is a year-end lease termination. Is TCF, you just announced that a big renovation on that project in downtown Minneapolis. It still says you have 18 months left on the lease. Does TCF National Bank going to move out early and do you expect the lease termination fee as a result of that? Or are you going to – is that just going to run out through the end of 2015?
Janet Notopoulos: At this point, this is Janet. At this point we assume that they will stay to the expiration of their lease on December 31, 2015. So the vacancy begins January, 2016.
John Guinee - Stifel, Nicolaus & Company: Got you. Okay. Thank you very much.
George Carter: Thanks, John.
Operator: Our next question comes from Dave Rodgers with Robert W. Baird.
Dave Rodgers - Robert W. Baird: Yes. Good morning. I wanted to follow up a little bit maybe on the flip side of the disposition question and talk a little bit more about the acquisition pipeline that you're seeing, George or Jeff, if you're there. I'd love to see what kind of that pipeline looks like and how comfortable you feel that you're going to be able to replace this loss NOI assuming that you're also looking to do 1031?
Jeffrey Carter: Good morning, Dave. It’s Jeff. I appreciate the question. We have – continue to have a very strong pipeline. Our pipeline right now is approximately $620 million. It is of our five core markets, its spread really in four of the five, Atlanta, Denver, Minneapolis and Dallas, Houston is light on the pipeline front at the moment. And the nature of the acquisitions that we’re looking at very comfortable to what you’ve seen us acquire in the last two years, i.e. urban in-fill and CBD, and in-fill suburban, urban town center quality projects and in the best locations in those markets. And that pipeline is probably roughly 40% off market transactions. And in terms of how certain I am about reinvestment. I’m never certain about reinvestment until I have a deal signed and under our control. But we’ve had a strong pipeline and I feel as good as one can feel about being able to reinvest this disposition proceeds, and we’ve got some front-runners that we’re working hard on.
Dave Rodgers - Robert W. Baird: And I guess given the timing on the dispositions, do you feel comfortable you’ll be close those by the end of the year? Or is that going to be a listing and they can drift into 2015 as well?
Jeffrey Carter: Our objective would be to try to close dispositions and acquisitions in this year and we’ll keep people posted on how that’s shaping up.
Dave Rodgers - Robert W. Baird: Maybe for Janet or George, I think this year we've seen higher overall leasing activity, I think out of all the office REITs this quarter. Your leasing activity was a little bit slower than I think the pace. I'd love to get a little bit more color on the activity that you are seeing kind of behind the scenes and the activity we should expect to see in the second half of the year. Certainly again as the competitive set up there and at the office market that continue to heat up, especially in some of the five key markets and where you're focused?
Janet Notopoulos: I think what you are seeing is that that we are 94% occupied, so that doesn't give us a whole lot of vacant space that we're working on and we are doing, as you can see the bulk of it, we're doing a lot of renewals. So our pace is in the renewals. We're seeing – we're also trying to be wise about how we're going about leasing at this point. We do see rising markets, so we're trying to get the best deals that we can with the advantage point of being at 94% occupied. But we are seeing in our major markets rental growth a little bit of compression in some of the concessions and we're trying to hold out for that. There is a little bit of slowness in the summer, but I think we're holding out for raising rents and rates and economic benefits on the remaining spaces and working on retaining our good tenants.
Dave Rodgers - Robert W. Baird: Maybe if I could ask another question then, not withstanding RGA at the end of the year, I mean it sounds like you feel like comfortable that you should be able to continue to push occupancy maybe modestly higher and continue to get better economics into the end of the year?
Janet Notopoulos: That's our – that's what we're striving for. I mean a lot of the vacancies that's coming up immediately it’s in our major markets, and so we should be able to do to not only lease that but hopefully at good economics. So it’s in Atlanta, Denver, a lot of its coming back in Denver. Houston which is still continues to be red hot and Dallas which is doing well.
Dave Rodgers - Robert W. Baird: All right. Thank you.
Operator: Our next question comes from Jamie Feldman with Bank of America/Merrill Lynch.
Jamie Feldman - Bank Of America/Merrill Lynch: Thank you. Good morning. I was hoping you could just give a little bit more color on what you're seeing in the acquisition market in terms of pricing as you think about the markets you guys are focused on. How is the market moving in the last quarter or so? And then does that open you up to maybe thinking about even more markets given pricing is probably come in?
Jeffrey Carter: Hi, Jamie, this is Jeff. Pricing in our markets, and with the types of properties that we’re trying to acquire and looking at acquiring, continues to be as strong as I’ve seen it in a long period of time. Cap rates are on the very high quality, trophy product in the in-fill locations in our markets, depending on how lease the building or not, and what it is and what its not, are anywhere from 5% to 7%. It’s a pretty wide range depending on the circumstance of the particular property. We’re still seeing properties that can be bought discounts to replacement costs and sometimes solid discounts to replacement costs. And we’re seeing opportunities in different properties for rental rate movement, mark-to-market on existing leases and leasing vacancy. And so, I think you will continue to see our focus in our five core markets that’s likely where you’ve to see the most of our – the majority of our acquisitions. We are mindful of the real estate cycle and I would never say that we would never buy in another market, but I think that that would be the exception and not the rule. So I think the expectation would be in those five markets.
Jamie Feldman - Bank Of America/Merrill Lynch: Okay. And then the assets you're looking at, most of them have some sort of redevelopment or value added component? Or they are pretty much stabilized?
Jeffrey Carter: I think you’re going to see us do a mixture of deals that have some element of value add all the way to some that are stabilized, well stabilized, but have – what we think to be near or intermediate opportunities to mark rents to market or opportunities for leasing in the intermediate term that are of interest to us, especially if there is a strong discount. So I think you will see a mix of value add deals that have current vacancy maybe they’re 75% to 85% leased all the way deals that are more stabilized. It will be a range of deals.
Jamie Feldman - Bank Of America/Merrill Lynch: Okay. So what are you guys targeting for stabilized deals and maybe even [IORs]?
Jeffrey Carter: Stabilized IORs, IORs, we're looking at about 10% and for stabilized cap rates, they depends on deal, but anywhere from 7% to 9%.
Jamie Feldman - Bank Of America/Merrill Lynch: All right. Thank you.
Operator: I’m showing no further questions. This concludes our question-and-answer session. I would now like to turn the conference back over to George Carter for any closing remarks.
George Carter: Thank you everybody for tuning into the call. We very much look forward to the rest of the year. I know there are some meetings and so on in the fall that we hope to see you at, and we’ll talk to you next quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.